Operator: Good morning and welcome to the ESAB third quarter 2023 earnings release and conference call.  All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, again press star, one. Thank you. Mark Barbalato, Vice President of Investor Relations, you may begin your conference.
Mark Barbalato: Thanks Operator. Welcome to ESAB’s third quarter 2023 earnings call. This morning, I’m joined by our President and CEO, Shyam Kambeyanda, and CFO Kevin Johnson. Please keep in mind that some of the statements we are making are forward-looking and are subject to risks, including those set forth in our SEC filings and today’s earnings release. Actual results may differ and we do not assume any obligation or intend to update these forward-looking statements, except as required by law. With respect to any non-GAAP financial measures mentioned during the call today, the accompanying reconciliation information related to those measures can be found in our earnings press release and today’s slide presentation. With that, I’d like to turn the call over to our President and CEO, Shyam Kambeyanda.
Shyam Kambeyanda: Thank you Mark. Good morning everyone. Thank you all for joining us today. ESAB achieved record results for the third quarter. Our team delivered strong year-over-year organic growth, margin expansion, and free cash flow.  Before getting into the slides, let me make a few comments. First, let me appreciate and thank our dedicated associates for their commitment and hard work. Their efforts are driving us closer to our long term goals. Second, our markets continue to be resilient, benefiting from favorable macro trends. The third quarter also underscored the strength of our global franchise. Our European team in particular excelled in the quarter, identifying opportunities to sell our new products and gain market share. During this period, I also had the privilege to travel and meet with our teams in the Asia Pacific and Middle East regions. It’s always inspiring to be with our regional teams and I was reassured by the remarkable progress we have made in both regions. Our teams continue to execute our EBX playbook, which has resulted in organic growth, margin expansion and cash flow improvements. Both regions added new customers to our equipment and automation portfolio. It is a testament to our exceptional ground game that is difficult to replicate, and their hard work and excellence are evident in our results. Third, in September we had two of our biggest industry events, Essen and Fabtech, where we unveiled ESAB’s innovative equipment and automation solutions, generating tremendous interest amongst our end users and sparking excitement among our valued customers. Since 2016 in Fabtech, we have systematically revitalized our equipment portfolio by bridging product gaps and fortifying our distribution networks while simultaneously creating a global presence in global gas control products and solutions. Fourth, we continued to ramp up the use of EBX business system. During the third quarter, we completed several kaizens, including our President’s Kaizen at our Denton facility as part of our product line simplification initiative. For this kaizen, our teams mapped out product families, created plans to eliminate low volume SKUs, and aligned customers with similar SKUs to enhance customer value while reducing complexity. We are already seeing the positive impact of this kaizen that has allowed us to increase on-time shipments, improve customer satisfaction, and expand margins. Last, as a result of our record third quarter performance and the good start to Q4, we’re raising our guidance for the year. Turning to Slide 3, we delivered outstanding third quarter results. Total sales grew 12% with our organic sales growing an impressive 700 basis points. We continued to experience resilient end markets in both geographies, with EMEA and APAC leading the way. Our innovative new products continue to experience robust demand and we’re on track to achieve our goal of increasing our equipment mix to 35% of sales.  Profits also reflect a strong quarter with adjusted EBITDA margins expanding by 170 basis points. Our EBX initiative, including product line simplification, continued to enhance our operational efficiency and cash flow generation. Moving to Slide 4, in the past I’ve discussed how we’re positioning ESAB for the future. ESAB has always had a leading consumables franchise. When I started in 2016, equipment represented only 26% of our sales. Our strategy was to refresh our equipment portfolio, fill product gaps, and extend our leadership in gas control equipment while protecting our consumables franchise. I’m proud to say we have made great progress on our equipment offering and have successfully filled our product gaps. Last month, we showcased products like the Volt, the digitally-enabled Warrior Edge, and our newly digitally connected Cobot at Fabtech and Essen trade shows, generating significant interest and excitement. We are making substantial investments in marketing, advertising and sales training to leverage our new product offering. These innovations are beginning to bear fruit with equipment and automation sales seeing high single digit growth, Cobot sales increasing by triple digits compared to last year, and additionally our Ohio acquisition has been successful in selling our GCE gas control products, like MediVital valves, further enhancing our position in the North American gas control market. All in all, strong progress as we continue to shape ESAB into a premier narrowly diversified industrial company. Moving to Slide 5, our financial performance, sales for the quarter reached a record $644 million, representing 12% total growth. Our end markets continue to perform better than expected, displaying resilience. Our acquisitions continue to outperform. EBITDA margins expanded by 170 basis points, reaching a record 18.3%. Turning to Slide 6, the Americas region performed as expected during the quarter. Total sales increased by 9%, organic sales increased by 400 basis points year-over-year, and acquisitions added an additional 500 basis points of growth. Excluding our product line simplification initiative, volumes grew low single digits. Our new products and solutions for the distribution channel, automation and robotics are expanding our growth opportunities. Our gas control business also continued to perform well. EBX and our new product launches played a significant role in driving a 220 basis point margin expansion in the quarter. Turning to Slide 7, our EMEA and APAC segments posted an outstanding quarter with total sales growing by 14%, organic sales increased by 900 basis points year-over-year, and acquisitions added 200 basis points of growth. Europe continues to demonstrate resilience and the Middle East and India markets are showing notable strength.  Our strong showing at Essen drove sales volumes higher by $4 million in September. EBITDA margins in the region expanded by 130 basis points. The team is effectively utilizing EBX and our pipeline simplification initiative to stimulate growth and expand margins.  On that positive note, let me hand it over to Kevin for Slide 8.
Kevin Johnson: Thanks Shyam.  We delivered another strong quarter of free cash flow, up 30% versus last year to a record $100 million, and we ended the third quarter with net leverage of less than 2.2 turns as we continued to repay debt. Key to our performance was a half a turn improvement in working capital as we ramp up the deployment of our EBX business system. We have a deep funnel of opportunities for the future and we continue to embrace the latest developments in AI to accelerate improvement. Our cash flow momentum has continued into the fourth quarter and we are on track to deliver a year of record free cash flow and expect net leverage of below two turns as we exit the year.  Turning to Slide 9, as Shyam mentioned earlier, we have again raised our full year 2023 guidance. Sales guidance has been increased to $2.59 billion to $2.61 billion on organic growth of 5% to 6%. This reflects continued resilience in our end markets. A strong performance from acquisitions offset by negative FX that is expected to impact our Q4 top line by approximately $12 million.  Adjusted EBITDA guidance increased to $465 million to $475 million, which includes continued progress on margins from manufacturing consolidation, product line simplification, and automation in our back office offset by around $2 million of FX impact. Adjusted EPS guidance has been raised by $0.15 at the midpoint, reflecting a stronger adjusted EBITDA performance, improved outlook for tax, and an update to our interest expense guidance. Cash flow conversion remains on track for a strong year for ESAB. With that, let me hand back to Shyam on Slide 10 to wrap up.
Shyam Kambeyanda: Thank you Kevin. To wrap up, our teams continued to execute our strategy and we’re well on our way to becoming a premier narrowly diversified industrial. Our markets continue to show strength and resilience on the back of favorable macro trends. In addition, our focus on introducing new innovative product solutions to our customers is allowing us to grow and gain share. We’re taking EBX up a notch, and I’m proud of our teams’ energy and commitment towards continuous improvement. As a team, we remain focused on creating value for our customers, associates and shareholders. We’re poised for a strong finish to 2023 and we’re building momentum going into 2024. Thank you again for joining us. Operator, please open the line for questions.
Operator: [Operator instructions] Your first question today comes from the line of Tami Zakaria from JP Morgan. Your line is open.
Tami Zakaria: Hi, good morning. Thank you so much for taking my question. I think I just saw pricing turned negative in Europe. Can you help us understand what drove that and what’s the outlook going forward?
Shyam Kambeyanda: Hi, good morning Tami. Thanks for the question.  A couple of things. We still anticipate pricing to be sort of in the low single digits as we finish out the year. We just saw some items, especially steel, sort of abate in the region, but the real story for us in the EMEA and APAC region was the markets continue to stay resilient. Our teams actually got significant volume, and our EBX initiatives drove a significant beat in margin versus where we expected, so all in all, really strong execution by the team. Pricing was just one part of the story based on some inflation that sort of began to abate, but the real story for us was really strong markets, great execution, and margin expansion year-over-year.
Tami Zakaria: Got it, thank you so much. Just a follow-up, as you think about raw material prices coming down, how should we think about pricing in the Americas as we look to the next few quarters?
Shyam Kambeyanda: You know, Tami, we’ve talked about this before - we really have three strategies on pricing, the first one being inflation-based, and we play in varied markets and not every market is seeing steel prices abate, so there’s sort of a mixed bag out there. But there’s two other pieces that we’re working hard on. One is value pricing, and the second one is our product line simplification-based pricing. From that perspective, we’re evaluating all of our options and looking at next year in that context. We’re confident on holding price regardless of where the markets grow, so our intent as we go forward is to sort of talk more about it during our investor day call, but as of right now, nothing changes in our strategy.
Tami Zakaria: Got it, thank you. Great quarter.
Shyam Kambeyanda: Thanks Tami.
Operator: Your next question comes from the line of Nathan Jones from Stifel. Your line is open.
Nathan Jones: Good morning everyone. 
Shyam Kambeyanda: Hi Nathan.
Nathan Jones: Was hoping to dig in a little bit more on PLS and its impact on the business. It’s been going on for a few quarters, it obviously has some headwind on the revenue line, some tailwind on the margin line. I think you talked about it having some positive impact on the pricing line there. Maybe you could unpack some of the impacts of PLS for us just in terms of the revenue drag, margin benefits, and anything else you can give us some color on.
Shyam Kambeyanda: Yes, you know, the best way to think about PLS is that, one, we’ve been very happy with the engagement and the execution of our teams on this particular initiative, and what you could see is we talk about PLS a certain way in the Americas market, and then we’re also doing PLS in Europe and the Middle East, and to some extent also in India. Where you can actually see the power of the PLS initiative as it focuses also on growth, fortifying and understanding how you sell to your customers, so what I’d say is that the PLS story is not just about refinement and elimination of SKUs, but it’s also about growth.  The best way to think about PLS is look at ESAB’s performance. We’ve talked about the North American business being more complex than some of our other regions, selling a significantly larger amount of SKUs and a lot of third party sales, where we were not adding much value in terms of sales content. One of the things that we had talked about is that it would take us this year to get through that aspect of PLS and begin to focus on growth. I was very happy with the progress that the North American team made as the quarter rolled on. We saw improvement starting in July, all the way to September in terms of volume. To answer your question as to the volume impact, we have said this - if you exclude the PLS volume impact, we had low single digit growth in the region. All in all, in our view, really strong initiatives, something that we believe is going to be a core toolkit of ours, with a big focus on growth as well. We’re demonstrating that in the Middle East and demonstrating that in Europe.
Nathan Jones: Thanks for that. Is it your opinion, then, that the impact of PLS--I know PLS won’t be an ongoing initiative, but the major impacts that we’re seeing at least to the top line in the Americas, you’re talking about probably five points of volume or something like that, that you’re dragging on revenue in 2023, that we should see the end of the major impacts for that and be into a more normal cadence, where we can more easily identify the impacts to growth of these tools in 2024?
Shyam Kambeyanda: That’s right. Our intent is to sort of exit this year and be in a spot where the comparables are sort of more equal and excluding sort of the big PLS impacts that we’ve made this year in the North American and Americas market. That’s correct.
Nathan Jones: Awesome. Thanks very much for taking my questions.
Shyam Kambeyanda: Thanks Nathan.
Operator: Your next question comes from the line of Mig Dobre from Baird. Your line is open.
Mig Dobre: Hey, good morning guys. Thank you for the question. If I may, I’d like to see if you could unpack your growth a little bit more. On Slide 3 here--rather Slide 4, you mention that equipment and automation volumes were up low double digits. Just running basic math, it looks like your consumables were flat and your growth and volume was really kind of all driven by equipment and automation, so correct me if I’m wrong there. What I’d like to understand from you is sort of how you see these two sides of your business progressing into the fourth quarter or, maybe if you’re willing to comment even beyond that, how sustainable is this growth in equipment and automation, and what do you think is happening with volumes just on the consumable side? Thank you.
Shyam Kambeyanda: Yes, thanks Mig. Always good to hear from you.  A couple of aspects. The first piece is something that I spoke about in my prepared comments, was that in 2016, we really did not have an equipment line. One of the best stories that came out of Fabtech and Essen was the excitement our sales team saw with the fact that we now have a full toolkit and a line-up to go sell on equipment, and the progress that we’ve made in creating automation solutions with our new Warrior Edge product line. Fundamentally, think of it as ESAB was playing back in 2016 primarily as a consumables franchise, to today we have now got a full product line on the Fabtech side to go out and get behind, and our sales teams and our customers to rally behind. We’re seeing a lot of excitement on that particular front, we’re seeing a lot of engagement, and so we fundamentally believe that over the next couple of years, we will be able to sell more equipment vis-à-vis consumables. That being said, the assumption that you’re making primarily is the right assumption, which is equipment and automation is growing faster than consumables, but probably the incorrect part of it is that the underlying, we did see consumables growth as well, just not as much.  We feel that this journey continues for us. Our position of strength in the geographies that we spoke about is significant. Our ground game is bar none and unparalleled. We genuinely feel that our teams are now executing our ESAB growth playbook and EBX playbook quite well, and so we believe that we continue to have an opportunity to gain share and drive volumes to be positive over the coming years. The other aspect, Mig, that I’d say to you is we’ve been very positively surprised by how resilient the markets have been, and in reality what we find--you know, I was in the Middle East and I can tell you, never before have I seen the kind of infrastructure and investment projects on the way. I was in India and I can tell you, from the times that I came to college here and have been going back, I’ve never seen the kind of development that’s happening in that particular region, and we all know about the opportunity that’s going to happen in the U.S., Canada and Mexico over the next decade with whether you call it re-industrialization or an industrial renaissance or re-shoring. There truly is significant opportunity for companies like us, and ESAB in particular, to be able to drive volume growth. We’re also looking forward to sharing a lot more detail on all of these topics during our investor day in December.
Mig Dobre: Sure, and thank you for that color, but maybe just to put a finer point here, when we’re looking at what your peers reported, for instance, what we have seen there, for lack of a better term, is just deceleration in activity. That’s not really apparent in your--in what you reported today, which is why I’m asking the question. Is it that the penetration of new product and all your initiatives are leading to the kind of outgrowth in the market that you deem to be sustainable, even as maybe broader demand conditions potentially shift going forward? Thank you.
Shyam Kambeyanda: Yes, so twofold. The first one is just a simpler answer - yes, we believe that we’ve got good processes in play that allow us to continue to do what we’re doing and get better from there. The other piece that I would also say, that the markets actually are showing reasonable resilience as we see it and where we are playing. We’ve talked about this before - we’re seeing ag continue to show some strength, we’re seeing renewable energy show some strength and we continue to gain customers in that particular place. We see downstream oil and gas and investment in the Middle East and infrastructure doing well, and the emerging markets exposure that we have, really we’ve always talked about having sort of a 2x impact on ESAB’s growth, and we’re seeing that play out.
Mig Dobre: Okay, thank you.
Operator: Your next question comes from the line of Chris Dankert from Loop Capital. Your line is open.
Chris Dankert: Hey, good morning everyone. This might be a question more for December here, but I’ll give it a shot anyhow. Kevin, I think you touched on manufacturing consolidation, maybe just any kind of update on what the actions were in the quarter and kind of what needs to happen yet on that front.
Kevin Johnson: Yes, so we’ve been working hard on the manufacturing consolidation. We had a couple of large projects this year with a focus on our European business this year in terms of some work that we’re doing, and there is an impact in the fourth quarter, probably a few million dollars as a result of those actions, that’s benefiting our margins. We’ve got a funnel of opportunities that we’re excited about for the future.
Shyam Kambeyanda: Yes Chris, I think we have talked about this before, where we think we’re in the middle innings in terms of where we think our [indiscernible] and efficiency can go, but we’ve done of lot heavy lifting in the past, so. But the point still is there’s plenty to do in terms of footprint rationalization, in terms of the things that Kevin spoke about also related to AI and data mining, that sort of fundamentally drives our opex to a different position, so we’re looking forward to executing those as we go into the budget cycle.  Kevin and I actually looked at several of those initiatives for us and we’re putting plans in play, depending on what the end markets do for us to either accelerate or run them through the course.
Chris Dankert: Perfect. Thanks for the color there, both of you. Then just following up here on price cost, any kind of color you can give us on what the impact of price cost was to EBITDA in the quarter, and kind of what we’re expecting to finish out the year here?
Kevin Johnson: Yes, so I think as Shyam mentioned earlier, we’re constantly watching inflation and reacting to inflation with price, and we’d say at this point we’re a little bit ahead of where we are with price over inflation, and we’ll look to continue to monitor that closely and keep that as we step through the fourth quarter.
Shyam Kambeyanda: We have a really strong system, as we’ve talked about, Chris, in the past, where we look at net impact of price within our business. Kevin did a really nice job a few years back creating what I’d call standard work for us to monitor how our business is doing against that particular metric, and so we feel confident that we’ve got enough sensors out in our space to ensure we’re doing the right things associated with price, and then I spoke about the two other ones that we’re going hard on, which is value pricing and PLS-based pricing in the marketplace.
Chris Dankert: If I could just put a fine point on that last topic there, PLS with the price dynamic, is that--should we think about that as, like, an 80-20 price approach as we move beyond this year, or how do we think about that component of pricing after the lines are reset into ’24?
Shyam Kambeyanda: You know, we believe that it’s an ongoing initiative, you continually look at where you add value, where you are delivering a significant amount of value to your customer and work that piece, but the short answer would be yes, there’s some low-hanging fruit that come at you early and then it becomes a stable process. But it is a powerful process of how you think about your business, how you think about your customers, and how you think about your product line and SKUs, and so we’re excited about it. The one thing that we’ve always talked about, PLS for us is not an exercise in cutting, it’s an exercise in growth and efficiency, and that’s what we’re focused on.
Chris Dankert: Got it, thanks so much.
Operator: Your next question comes from the line of Sherif El-Sabbahy from Bank of America. Your line is open.
Sherif El-Sabbahy: Hi, good morning. 
Shyam Kambeyanda: Hi Sherif.
Sherif El-Sabbahy: I just wanted to follow up a bit on some of the strong equipment sales you’ve seen. On the fabtech side, are you seeing the uptick in equipment sales mostly from existing customers that are buying the new refreshed product lines, or is it also growing market share among the non-traditional ESAB customer?
Shyam Kambeyanda: It’s really both. The first piece is that--you know, I’d sort of talked about this in the context of us having a really strong consumables franchise and not being able to sell to the customers that were already buying from us a full portfolio, and so today that has changed. Then the second piece that comes along with it, with these exciting new products like the Volt, like the Warrior Edge, and the fundamental transformation of our portfolio, new customers are engaging with us and customers that did not have the opportunity to allow for a full ESAB workflow solution are now engaging with us. We’re actually winning on both sides, and it’s something that I’ve talked about, a dollar sales for us in equipment is not only a dollar sales in growth but a dollar in share gain, and so it’s a really dynamic for us. Very proud of our engineering team and the efforts that were put in terms of open innovation to get us there.  Our intent now is to continue to refresh this line, keep it on the forefront, keep it in the best-in-class category, and continue to build on this.
Sherif El-Sabbahy: Understood. Then you mentioned on just some of the end markets, you’re seeing strength in renewables. We’ve seen some upheaval in clean energy projects, particularly on the wind side. Can you remind us of your exposure in renewables and where are your areas of strength?
Shyam Kambeyanda: Yes, so--do you have the number, Mark?
Mark Barbalato: It’s low single digits.
Shyam Kambeyanda: But what we are seeing is a significant amount of investment that is going in and activity as a result of it. I mean, yes, there may be--I’m not sure of the upheaval that you’re speaking of, but what we do see is a significant amount of offshore investment that’s going on in Europe, that’s going to continue probably for the next decade. We’re seeing renewable energy peak its opportunity also in the Middle East. We’re seeing obviously the U.S. also engage hard on that particular aspect, along with South America, so our opportunity list, and something that we’ve talked about at our industrial shows called adaptive welding for that particular category, is actually gaining a ton of traction. We’re seeing some excitement around that field, where we’re displacing a few incumbents, and so we like the space, we like the efforts our team has put in, in terms of the technology that we have, and so it’s a growth driver for ESAB.
Sherif El-Sabbahy: Got it, thanks so much.
Operator: Your next question comes from the line of David Raso from Evercore ISI. Your line is open. David, your line is open.  We’ll move onto our next question. It is from the line of Rob Jamieson with UBS. Your line is open.
Rob Jamieson: Morning guys. Congrats on the good quarter. Just real quick on the end markets, I think your exposure to auto is pretty small, probably low single digits here in the U.S. Is there anything baked into your full year [indiscernible] UAW strikes as it’s related to your consumables business in the Americas?
Shyam Kambeyanda: No, we actually have very little auto exposure in the Americas, and so as a result, we really saw no impact of the strike. But that being said, we do expect to continue to sort of work that aspect of the channel and continue to have growth opportunities there.
Rob Jamieson: Got you, okay. Perfect, thanks. Then just a couple on free cash flow - I mean, look, another strong quarter here, and Kevin, I know you mentioned the use of AI and what that’s doing for working capital. Just curious if there is opportunities to use similar technology across the rest of the organization to maybe become more efficient on sales initiatives or leads as you’re trying to grow your equipment business.  Then I guess another question on net leverage being sub-two turns by the end of the year, just an update on the acquisition pipeline and prioritization there. Are you still looking to expand the gas control business, any other areas of the portfolio that you’re looking to fill? Thanks. 
Kevin Johnson: Yes Rob, I think we’ve spoken a few times that we are piloting some projects in AI that are supporting the cash side of the business, but we’ll probably talk a little bit more in detail about some of the activities that we’re doing at our investor day in December. But AI is something that we’re looking at across the entire business, and the areas that you mentioned are areas where we are definitely focused and see significant opportunity in this evolving AI world to get even more benefits in the future, so definitely at the forefront of our mind and definitely something that we’re working on across the wider business. In terms of the M&A and the funnel, I’ll maybe hand over to Shyam. 
Shyam Kambeyanda: Yes, we actually have a very strong M&A funnel, very balanced. We’ve got a lot of opportunities on the gas control side, as well as some opportunities to create more strength within our fabtech business, and so yes, we’re actively working it. The funnel has never been stronger. It just comes down to us executing based on timing on a few of them, and so we’ll see when those happen. We continue to expect to be a compounder in our category. Our intent is to create a less cyclical, higher margin, better cash flow business and begin to shift ESAB to a narrowly diversified premier industrial. I think we’re well on our way on that particular front and you’ll see that our acquisition strategy will fuel that direction.
Rob Jamieson: Great, thanks for taking my questions.
Shyam Kambeyanda: Thank you.
Operator: There are no further questions at this time. Mr. Mark Barbalato, I turn the call back over to you for some final closing remarks.
Mark Barbalato: Thank you for joining us today, and we look forward to speaking to you on our next call. 
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.